Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Corporation First Quarter 2025 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today May 02, 2025. I would now like to turn the call over to today's host, John Zoeller, Westlake's Vice President and Treasurer. Sir, you may begin.
John Zoeller: Thank you. Good morning, everyone, and to the Westlake Corporation conference call to discuss our first quarter 2025 results. I am joined today by Albert Chao, our Executive Chairman; Jean-Marc Gilson, our President and CEO; Steve Bender, our Executive Vice President and Chief Financial Officer; and other members of our management team. During the call, we will refer to our two reporting segments, Performance and Essential Materials, which we refer to as PEM or materials and housing and infrastructure products, which we refer to as HIP or products. Today's conference call will begin with Jean-Marc, who will open with a few comments regarding Westlake's performance. Steve will then discuss our financial and operating results, after which Jean-Marc will add a few concluding comments, and we will open up the call to questions. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. These risks and uncertainties are discussed in Westlake's Form 10-K for the year ended December 31, 2024, and other SEC filings. We encourage you to learn more about these factors that could lead our actual results to differ by reviewing these SEC filings, which are also available on our Investor Relations website. This morning, Westlake issued a press release with details of our first quarter results. This document is available in the Press Release section of our website at westlake.com. We have also included an earnings presentation, which can be found in the Investor Relations section on our website. A replay of today's call will be available beginning today, two hours following the conclusion of this call. This replay may be accessed via Westlake's website. Please note that information reported on this call speaks only as of today, may 02, 2025, and therefore, you are advised that time sensitive information may no longer be accurate as of the time of any replay. Finally, I would advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at westlake.com. Now I'd like to turn the call over to Jean-Marc Gilson, Jean-Marc Gilson?
Jean-Marc Gilson: Thank you, John, and good morning, everyone. We appreciate you joining us to discuss our first quarter 2025 results. For the first quarter of 2025, we reported EBITDA of $288 million on net sales of $2.8 billion. As has been the case in recent quarters, Westlake benefited from the diversity of our businesses and our low cost highly integrated business model during the first quarter of 2025. Our HIP segment performed well despite winter storms slowing home constructions in certain parts of the U.S. and an uptick in mortgage interest rates that slowed sales of completed homes by the nation's large builders, both of which weighed on our sales of our products in the quarter. The broad portfolio and expensive footprint of our HIP segment with its solid 20% EBITDA margin and asset light cash generative business model partially offset the first quarter headwinds that we experienced in our PEM segment. Our PEM segment results reflected a confluence of events, converging to deliver results below our expectations. Specifically, a strong run up in feedstock and energy prices increased PEM's cost by approximately $100 million year-over-year, while at the same time we undertook 2 planned turnarounds and experienced unplanned outages that impacted our EBITDA by approximately $80 million. This confluence of events resulted in extraordinary margin compressions, which drove PEM's EBITDA to be $180 million lower than the first quarter of 2024. Global demand remains well below historical levels and recent disruptions from tariffs have weighted on global growth. While we navigate the uncertain macroeconomic environment, we are taking immediate and targeted actions to adjust to the business conditions, to improve profitability and grow the business. First, we are focused on rightsizing our operations for the current economic realities. On this front, during the first quarter, we continued to make progress with optimizing our manufacturing footprint, including taking the actions in our epoxy business that we announced last fall to drive improvements in our costs and earnings in the coming months. Charges for these actions were accrued in 2024 and we are continuing to assess our asset portfolio to improve our financial performance. Second, we are raising our cost reduction target for 2025 by $25 million to a new range of $150 million to $175 million, building on the $40 million of cost reductions we achieved in the first quarter. Additionally, we are reducing our capital spending forecast for 2025 by 10% to $900 million to support our cash generation this year. We are monitoring market conditions and we will adjust this capital spending level as needed. Third, we are improving our cost structure and operational reliability. Last month, we successfully completed our Petro 1 ethylene plant turnaround after running the unit for a record 8.5 years. This is the second ethylene plant turnaround since 2023 and we expect both plants to deliver reliable production with an eye towards achieving yet another future record of operations between turnarounds. Also, in the first quarter, we completed the new VCM tie-ins at Geismar plant during its turnaround, which will provide enhanced reliability across our entire chlorovinyl production chain. The VCM tie-in will also allow us to replace the current mercury cell capacity being rationalized this year with new, more environmentally friendly membrane cell capacity with no material impact on our overall capacity. These major sites completed their turnaround work in the second quarter and are now ramping up to address market demand. We are pleased to have completed these significant operational milestones with the associated benefits from improved operational reliability that they will provide well into the future. In this protracted down cycle, we believe that these actions will better position us and ensure Westlake will continue to create value for its shareholders. I would now like to turn over our call to Steve to provide more detail on our financial results for the first quarter of 2025.
Steve Bender: Thank you, Jean-Marc, and good morning, everyone. Westlake reported a net loss of $40 million or $0.31 per share in the first quarter on sales of $2.8 billion. Net income for the first quarter of 2025 decreased $214 million from the first quarter of 2024. The year-over-year decline in net income was primarily due to higher North American feedstock and energy cost of approximately $100 million. Planned turnarounds and unplanned outages that impacted EBITDA by approximately $80 million as well as unfavorable changes in HIP sales mix. When compared to the fourth quarter 2024, net income decreased by $47 million in the first quarter as the seasonal increase in sales volume did not fully offset higher feedstock and energy cost, turnaround and outage impacts and the sales mix changes. For the first quarter of 2025, our utilization of the FIFO method of accounting resulted in a favorable pretax impact of $66 million compared to what earnings would have been reported on the LIFO method. This is only an estimate and has not been audited. Before I discuss the details of our segment results, I want to provide some high-level thoughts on the quarter. Compared to the record year ago period, financial results in our HIP segment during the first quarter reflected lower average sales prices. This was a result of winter storms, which slowed new construction of homes in certain parts of the United States and higher interest rates that drove fewer housing permits impacting our volumes on our pipe and fitting and siding and trim businesses. While winter storms delayed the normal start of the construction season, we were pleased with HIP's EBITDA margin of 20% in the first quarter, which typically experiences lower seasonal demand. Turning to our PEM segment. Our first quarter results reflected a number of headwinds, most of which we believe are transitory. The most significant was the year-over-year increase in feedstock and energy cost of approximately $100 million. As a result of protracted down cycle negatively impacting entity-wide sales volumes, we were unable to realize higher average sales prices in the first quarter to offset these higher costs. Additionally, planned turnarounds and unplanned outages reduced our first quarter of 2025 EBITDA by approximately $80 million. The turnarounds were completed in the second quarter and now ramping up to meet demand. We continue to take proactive steps to right size our PEM business for the current demand environment, including actions to improve profitability of our epoxy assets in the Netherlands, where we took the charge to earnings in 2024. Additionally, substantially all of the approximately $40 million of companywide cost savings generated in the first quarter of 2025 or in our PEM segment, and we continue to drive to reduce costs beyond our company-wide raise target of $150 million to $175 million for the full year of 2025. Moving to the specifics of our segment performance. Our Housing and Infrastructure Products segment produced EBITDA of $203 million on $1 billion of sales. EBITDA decreased $61 million year-over-year due to a 2% decline in sales volumes and a 3% decline in average sales prices. Sales volumes during the first quarter of 2025 was impacted by a significant prebuying activity late in 2024 in pipe and fittings. Thus, the change in product mix and a slower start to the construction season due to the winter weather contributed to lower segment EBITDA margin when compared to the first quarter of 2024. When compared to the fourth quarter of 2024, HIP segment sales of $1 billion rose 2%, driven by a 4% sequential increase in sales volume that more than offset a 2% decline in average sales price. Housing product sales of $838 million in the quarter increased $20 million due to sales volume growth, particularly for siding and trim and roofing. Infrastructure product sales of $158 million in the first quarter of 2025 decreased $5 million from the fourth quarter of 2024 due to some customers prebuying in the fourth quarter of 2024 that they would normally have bought in the first quarter of 2025. Moving to our PIM segment. First quarter EBITDA of $73 million was below first quarter of 2024 EBITDA of $253 million due primarily to significant higher North American feedstock cost and energy cost, including a 59% increase in natural gas cost and a 42% increase in ethane cost. Weak global industrial and manufacturing activity during the first quarter and some flattening of the global cost curve led to delays in our price initiative increases, resulting in a 2% decrease in PIM's average sales price. Sales volumes also declined 2% year-over-year, driven by lower global demand for PVC resin and polyethylene. As a result of these factors and the impact of planned turnarounds and unplanned outages, PIM's first quarter EBITDA margin of 4% was below the first quarter of 2024 EBITDA margin of 13%. On a sequential basis, PIM's segment EBITDA of $73 million in the first quarter decreased by $147 million from the fourth quarter of 2024 as a result of the higher North American feedstock and energy cost and the impact of the planned turnarounds and unplanned outages that I previously discussed. Compared to the fourth quarter of 2024, PEM sales volumes was down 1%, driven by polyethylene, while average sales prices were flat. Shifting to our balance sheet. As of March 31, 2025, cash and investments were $2.5 billion and total debt was $4.6 billion with a staggered long term fixed rate debt maturity. For the first quarter of 2025, net cash used from operating activities of $77 million was impacted by cash outflows associated with the planned turnarounds that I previously mentioned as well as our typical seasonal increase in working capital to support seasonal changes in demand for our products. Additionally, we used $30 million of cash to repurchase shares of Westlake common stock while returning $68 million of cash to shareholders in the form of dividends during the quarter. We continue to look for opportunities to strategically deploy our balance sheet in order to create long term value. Now let me provide some guidance for your models. Given the macroeconomic uncertainty and an uptick in mortgage interest rates combined with slower starts in new home construction, we now expect 2025 revenue and EBITDA margin in our Housing and Infrastructure Products segment to be towards the low end of the previously communicated range of $4.4 billion to $4.6 billion of revenue, with EBITDA margin between 20% and 22%. Our revised outlook reflects continued mix shift impacts on revenue and EBITDA margin. We continue to expect positive sales growth for HIP in 2025. Expected total cap expenditures for the company has been lowered by 10% to $900 million as we optimize our business. As Jean-Marc mentioned, we are now targeting $150 million to $175 million of company-wide savings in 2025, with roughly $40 million achieved in the first quarter. For the first year of 2025, we expect our effective tax rate to be approximately 23% and we expect cash interest expense to be approximately $160 million. I'd like to turn the call back over to Jean-Marc to provide the current outlook of our business. Jean-Marc?
Jean-Marc Gilson: Thank you, Steve. As 2025 progresses, our efforts will be focused on executing several proactive and decisive actions to enhance margins, optimize our footprint and improve our cost structure and operational reliability. These are all actions that are within our control and that will position Westlake to create greater value as we navigate this business cycle. Global trade tensions have intensified and we estimate the direct impact from recent tariff announcement on our business is largely manageable. A large majority of our products [Indiscernible] are USMCA-compliant and limit our exposures at this moment. While it remains unclear our trade negotiation will conclude and as we clearly assess the impact they may have on demand for our products, we are taking proactive steps to reduce all direct impacts to products we import that are subject to significant duties. Our HIP businesses are primarily domestic in nature and their supply chains are relatively insulated by recent tariff announcement through the USMCA. As Steve mentioned earlier, while we are now expecting HIP revenue and EBITDA margin to be towards the low end of our previous guidance ranges, we continue to expect positive HIP sales volume growth for 2025. Turning to PEM, we expect the direct impact from recent tariff announcements on our cost and supply chains to also be manageable. However, in the wake of the tariff announcement, we have seen increased volatility in commodity prices and currency rates, which may impact our PEM segment in the second quarter and full year of 2025. Until negotiations on tariffs are finalized, we expect the uncertainty to persist and we are prepared to take action to adjust to changing conditions. Let me remind you of Westlake's foundational strengths, which have served us very well over many decades. I want to focus on 5 in particular that I believe will differentiate us from peers during the current period of uncertainty. The first of these is our integrated business model from ethylene all the way through the building products, insulating us from supply chain disruptions and enabling us to capture margin along this integrated chain. Second is the diversity of our businesses, supported by the strength of earnings in HIP and the leverage to macroeconomic upturns in PEM, which is a key source of resilience and opportunity throughout the business cycle. Third is our globally advantaged feedstock and energy position in North America where 85% of our products are manufactured. Fourth is our strong investment grade balance sheet with $2.5 billion of cash and securities and no near-term debt maturities, which helps support our ability to reward shareholders through share repurchases and our unbroken string of quarterly dividends for over 20 years since our IPO. Fifth is our low-cost manufacturing culture with an emphasis on the safety and reliability of our plants. While no one can predict the future, the best we can do is to prepare for many potential outcomes. I believe that the key strengths that I just outlined position us to succeed across a wide range of potential outcomes in the current uncertain macroeconomic environment. Thank you very much for listening to our first quarter earnings call. I will now turn the call back over to John.
John Zoeller: Thank you, Jean-Marc. Before we begin taking questions, I would like to remind listeners that our earnings presentation, which provides additional clarity into our results is available on our website and a replay of this teleconference will be available two hours after the call has ended. Michelle, we will now take questions.
Operator: Thank you. [Operator Instructions] Our first question is going to come from the line of Patrick Cunningham with Citi. Your line is open. Please go ahead.
Patrick Cunningham: Hi, good morning, Jean-Marc and Steve. I guess maybe I want to just start off on the HIP, specifically on price cost. It seems like more margin degradation is implied. Can you first remind us the typical time line for price realization there and your level of confidence in passing through inflation?
Steve Bender: Yes, Patrick, this market is much more -- this HIP market is much more stable in pricing dynamics, unlike the PIM segment, which moves on a monthly and sometimes more frequent basis. And so I would say in the HIP segment, we see more stability in price nominations. And so certainly in an environment where we see dynamic in some of the input cost, we're able to actually provide more price stability there. That doesn't mean we're not exposed to some of the changes in the market conditions, but it's much more stable in price across the entire change.
Patrick Cunningham: Understood. Very helpful. And I know you've discussed the direct impacts of this trade uncertainty being manageable. When do you anticipate retaliatory tariffs in China will do to PE operating rates and domestic prices?
Steve Bender: Well, it's hard to project what may occur there. But certainly, when we think about the direct impacts, because it's hard to anticipate what the indirect impacts could be. But simply as we think about the mix of polyethylene that we produce, which is largely going into domestic packaging applications that our exposure to the Asian market for most of the low-density polyethylene that we produce and some of the specialty and differentiated forms really are not targeted for those markets. And so the markets that we're focusing our products into is really more of that specialty end of the chain and less exposed to really those kind of dynamics that you see in the Asian markets.
Patrick Cunningham: Thank you.
Operator: Thank you. One moment for our next question. Our next question is going to come from the line of Jeffrey Zekauskas with J.P. Morgan. Your line is open. Please go ahead.
Jeffrey Zekauskas: Thanks very much. Can you let us know how the PVC industry performed in the first quarter? Were volumes up or down or by how much?
Steve Bender: Yes. So Jeff, the industry continues to in the first quarter see a bit of a build in inventory in anticipation of the construction season. So I would say that operating rates for the industry were probably in the 80s in that range. Of course, the construction season doesn't really start until we get it really into the late portions of the first quarter and into the second quarter. So they would typically be in the low to mid-80s.
Jeffrey Zekauskas: In your slides, in describing the PEM segment, you said that there were declines in chlor-alkali and PVC resin prices sequentially. I thought PVC resin prices went up in the first quarter. I thought there was a price increase in February and in March. Did you have a different experience or maybe posted prices were different than the experience of interest?
Steve Bender: So Jeff, when you think about the change that we saw, remember, we saw some price resets at the end of the year that carried into the first month or so of the first quarter. And to your point, there were price increases realized over the course of February and March. And so as we think about what we experienced, there have been -- I agree with you, there have been increases over the course of the first quarter, but there were some kind of market resets that occurred at the end of the year.
Jeffrey Zekauskas: And you talked about declines in chlor-alkali. Is that both in chlorine and caustic or only in chlorine but not in caustic?
Steve Bender: Now we've continued to see some continued strength really in chlorine and as we enter the season now -- excuse me as we enter this season for bleaching and for construction materials, that demand for chlorine will continue. There are some of course regional pressures, of course in all these product offerings both in chlorine of course and in caustic that may occur at the end of the year during a slow period of construction and demand for bleaching materials and water treatment materials in January, December. But as you think about the onset of the construction season and the onset of the water treatment season, we've seen some stability in fact in caustic some price increases in the first quarter.
Jeffrey Zekauskas: Sure. Okay. Thank you very much, Steve.
Steve Bender: You're welcome.
Operator: One moment for our next question. Our next question comes from the line of John Roberts with Mizuho Group. Your line is open. Please go ahead.
John Roberts: Thank you. I think a driver for HIPs was gaining share at distributors because of your ability to fill more of an order than competitors that have more narrow product lines. How's that going? And does this kind of environment make it harder to gain share because it's more competitive or is it easier to gain some share here?
Steve Bender: So John, I would say that and you can see from our prepared remarks that we expect to continue the revenue growth in our business. And I think that speaks directly to the question you're asking. I think the broad offering that we offer in our HIP segment has allowed us to continue to gain share in that market. Our focus is really meeting the needs of the customer's customer, which is the homebuilder. And in those dialogues that we have with the home builders, the nationwide builders, we find that there is really good selection and of those product offerings and that allows us to have that penetration into our distributor customers. And so we do see good growth in the range of product offerings with our distributors and ultimately going to our end customer.
John Roberts: Thank you.
Operator: One moment for our next question. And our next question is going to come from the line of Michael Leithead with Barclays. Your line is open. Please go ahead.
Michael Leithead: Thanks. Good morning, team. First, can you talk more about the mix shift impact that you're calling within HIP? Just what businesses are generating above average margin that maybe you're seeing a disproportional slowdown here?
Steve Bender: Yes, good question. So in the fourth quarter, because of some of the weather, we did see a pull forward of some of the pipe and fittings businesses in the fourth quarter. And of course, with some of the winter season, we saw and because of the temperatures, it's harder to put some of that material into the ground. The ground is frozen in parts of the northern portions of the United States and Canada. And so let's pull on that in the early stages of the first quarter. Of course, that was backfilled with some of the volumes we saw in our exterior building products business as well as in compound. So it was really the pull forward of some of our pipe and fittings business in fourth quarter.
Michael Leithead: Got it. That's helpful. And then second, is epoxy generating positive EBITDA today? And do you need to take further actions to improve that business's profitability?
Steve Bender: It remains a challenged business. And as you can see, Mike, as we spoke to it, we're taking proactive steps really to really address this. You can see that we took the charge in third quarter of last year. And you can see in our prepared remarks, we're moving forward to take steps to really improve the bottom-line results of that business.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Aleksey Yefremov with KeyBanc Capital Markets. Your line is open. Please go ahead.
Aleksey Yefremov: Good morning, everyone. You mentioned mix in your HIP sales in Q1. Could you comment on what's happening in pricing in specific categories? And I was wondering pipe and fittings, were prices flat or up? And is there any difference between large and small diameter products?
Steve Bender: Yes, there is more value really in the larger diameter business. As you might recall, we're the only player with really the pipe and the fittings combination. And so I would say that that's really where we're seeing the strength. I would say that when we think about price, it does vary across the country and so it's hard to quote an overall price. But I would say that with some of the push through in PVC resin, there's sometimes a bit of a lag in getting that all the way through in our pipe and fittings applications. And so you have seen, therefore, some margin compression in that pipe and fittings business. That's more of a lag than an inability to ultimately get that pricing of that resin through. But the value proposition that we see in the larger pipe business is really why we continue to stay so very focused in that business. There are so many players and it's a much more fragmented market in the much smaller diameter forms of pipe. That's where we play a much smaller role because frankly it's a smaller value-added segment of the business.
Aleksey Yefremov: Thanks, Steve. Staying with HIP, you just mentioned that overall after discounts, it sounds like your PVC pricing was lower in Q1. Just broadly Petrochemical prices are lower. Would any of that benefit HIP in the first half or this year in terms of margins?
Steve Bender: I'm sorry, could you repeat that? I didn't quite fully hear your question.
Aleksey Yefremov: Sorry, the question really is about lower PVC prices and lower petrochemical prices in general, at least at this moment. And would any of that benefit HIP margins?
Steve Bender: Yes. So as we think about the run up and now we've actually seen some normalization of some of those energy price that we experienced in the first quarter. But I would say some of the price nominations we've seen specifically in PVC have come through in terms of recognizing higher prices, but getting the early portions of the first quarter. I hope I answered your question. I was trying to understand your question.
Aleksey Yefremov: Sorry, Steve. You broke up a little bit at least on my part. I'm not sure if it's an issue for the whole call. But the question was really about lower raw material costs for a HIP.
Steve Bender: Yes. And so we're not really seeing a degradation in pricing in our Building Products business as a result of those lower prices in some of the inputs. As I mentioned earlier to one of the questioners, we see a much more stability in Building Products pricing. And so therefore, we don't see a transference of the high degree of volatility you typically see in the more commodity-oriented materials translated into building products. Prices tend to be significantly more stable on the building product side.
Operator: Thank you. And one moment as we move on to our next question. Our next question comes from the line of Josh Spector with UBS. Your line is open. Please go ahead.
Josh Spector: Hi, good morning. I wanted to ask specifically on PVC exports in PEM. Are you making any money on the exports of PVC at this point? I'm trying to understand kind of the negative EBIT and some of the shift down. And I guess depending on your answer there, do you need to flex any of your U.S. operations just given some of your assets are net shore ethylene and probably less advantaged? Are there opportunities for you to pull levers to improve that or is my analysis wrong?
Steve Bender: Josh, I would say that the export pricing that we're seeing, prices have trended higher. The domestic price we're seeing in PVC really reflect the export prices. But I agree that the export margin is very narrow, but it is a positive margin. So no need to really flex the, if you will, the front end of the manufacturing chain.
Josh Spector: Okay. I'll leave it there. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Michael Sison with Wells Fargo. Your line is open. Please go ahead.
Michael Sison: Hey, good morning. Good morning. In terms of your outlook for 2Q, and I know you don't get any specifics, but directionally, should HIP, EBITDA get better? And then if PEM could get better, why and what would need to drive that for an improvement in EBITDA for PEM in 2Q versus 1Q?
Steve Bender: So, Mike, as we look at some of the forecasters such as NAHB for housing starts and even housing permits for the 2025 year, we see those numbers forecasted to be in the $1.3 million range. The second quarter and the third quarter tend to be seasonally strong from a construction perspective. And You can see our commentary and guidance for HIP that we do expect revenue growth. And so I do expect that as we start into the second quarter and the third quarter, we'll continue to see growth in those activities. You can see the guidance we're providing in revenue. So the ramp up that we typically see, we do expect in the second quarter. And so I do expect that we'll be able to continue to get traction really in that business. And that is really what is driving the PVC pricing. We've seen some traction in the first quarter in PVC pricing over the course of the first quarter so far this year, and that's really driving that.
Michael Sison: Okay. And then in PEM sequentially?
Steve Bender: Yes. And so with that sequential pickup that we're seeing in downstream demand in construction materials, those prices that we talked about earlier in PVC that we've been able to nominate in February and March, April settled relatively flat, we believe. Those sequentially should be constructive because you get the compounding effect of those prices coming through that we were able to put in place in the first quarter will carry on into the second quarter.
Michael Sison: Right. And the headwind in seed stocks in PEM for Q1, does that improve materially in 2Q?
Steve Bender: So as we think about gas as an example for fuel, we've seen that gas is now in the neighborhood of about 3.5% and ethane has started to trend lower from the first quarter. Ethane ran up fairly significantly in the middle portion, the late portion of the first quarter and ethane has trended lower over the month of April and so far in May relative to the peaks that we saw in the first quarter. So that will be a positive headwind -- or positive tailwind, I should say.
Michael Sison: Great. Thank you.
Steve Bender: You're welcome.
Operator: Thank you. One moment for our next question. Our next question is going to come from the line of Pete Osterland with Truist Securities. Your line is open. Please go ahead.
Pete Osterland: Hey, good morning. Thanks for taking the questions. First, I wanted to ask, how much of the $80 million of outage costs were planned versus unplanned in the first quarter? And could you size the expected costs associated with these outages in the second quarter?
Steve Bender: Yes. And so, Pete, the planned outages for the turnarounds is about 2/3r of that $80 million. And so, as you heard me in my prepared remarks say that we're ramping up now to meet demand for the turnaround that we took for both the Petro 1 unit that was in turnaround as well as our Geismar VCM tie-ins. So those units are ramping up over the course of April and May. I expect them to be in fuller rates by in May.
Pete Osterland: Understood. Thank you. And then just as a follow-up, on your plans to reduce CapEx by 10% this year, if overall market conditions meaningfully worsen, how much could you or would you be willing to cut this year beyond that?
Steve Bender: Well, we actually will take a look at the market conditions as you noted. And of course, we won't pull back on spending related to safety and reliability. But we will be focused in making sure that any other activities are certainly being looked at very closely. But safety, of course, is job one. We'll, of course, maintain a safe and operable plant and reliability continues to be an important element in our business. We'll take a look and see what those market conditions dictate and if changes lower are dictated, we'll take those actions.
Pete Osterland: All right. Thank you.
Steve Bender: Welcome.
Operator: Thank you. One moment for our next question. And our next question is going to be from the line of Matthew Blair with TPH. Your line is open. Please go ahead.
Matthew Blair: Great. Thank you and good morning. Could you talk about the M&A pipeline, market weakness shaking anything loose or is M&A just not really a consideration right now? Thank you.
Steve Bender: Matthew, the acquisition opportunities has always been an important element in the growth of our business. And I would say the dialogues that we have across both segments continue to be good. And I would say we're always thoughtful about how we deploy capital to an acquisition, but I would say there are opportunities in the marketplace and we'll assess those and the value those bring on an ongoing basis. But in markets such as this, there are always good opportunities and we'll look at those and act on those if those are good opportunities. We have a strong balance sheet and an investment grade rated balance sheet. So with the cash and the under-leverage position we have, we see good opportunities. We'll be able to act accordingly.
Matthew Blair: Sounds good. And then, construction is weak across the board, but could you talk about any patterns and any differences you're seeing in residential versus commercial? Thank you.
Steve Bender: Well, we don't really address the commercial market, so I can't speak to that market. But I will say that certainly some of the higher interest rates are causing some cautiousness by buyers. But I would say that our guidance has really been consistent that we see housing starts last year at $1.3 million consistent with the guidance we see from forecasters like NAHB and others such as John Burns, we're forecasting starts to be in the $1.3 million range. And that's our view and that's the guidance on which we built our HIP guidance around.
Matthew Blair: Great. Thanks.
Steve Bender: You're welcome.
Operator: Thank you. And our next question comes from the line of Kevin McCarthy with Vertical Research Partners. Your line is open. Please go ahead.
Kevin McCarthy: Yes. Thank you and good morning. As you look across your portfolio, do you see any examples of businesses where you think volumes are being negatively affected by the international trade chaos in say April or May? Or is that not the case and the volume experience is on par with what you would normally expect seasonally?
Steve Bender: No, I'd say, Kevin, that there has been cautiousness, I would say, by customers for exports. And so therefore, I'd say that's caused some just cautiousness across the spectrum in many of our products. And so I would say that we're watching and then dialogue with the customer base that we have across all of our product spectrums. It's affecting not only our chemical customer base, but also our building products customer base with some of the uncertainty. And so that's why I'd say that as we look forward, we're building plans to deal with a macroeconomic situation in both sides of our business.
Kevin McCarthy: Okay. And then secondly, if I may, Steve, polyethylene spot export prices seem to be ebbing a little bit in recent weeks. Can you update us on what your expectations are for resin selling prices -- polyethylene resin that is in the next month or two here, including the contract market?
Steve Bender: Yes. The contract market, April has not yet settled even though we're the first few days of May at this stage. So it's hard to see where that will ultimately land. And certainly, those price nominations, we've got a $0.05 price nomination that really has just been pushed to May if we don't get that achieved in April. So we'll take a look and see how the markets begins to sort itself out. But as I say, at this stage, April has not yet settled.
Kevin McCarthy: Thank you very much.
Steve Bender: You're welcome.
Operator: Thank you. And our next question is going to come from the line of Arun Viswanathan with RBC Capital Markets. Your line is open. Please go ahead.
Arun Viswanathan: Great. Thanks for taking my question. Hope you guys are well. I guess, first off, just on caustic, I guess, there's been some stability, some strength. Do you expect that to continue? And I guess are you guys kind of operating maybe slightly below the market just given some of the maintenance or where would you kind of characterize industry in your own operating rates? Thanks.
Steve Bender: So when you think of where we are, we've seen price traction in the first quarter that will carry over into the second quarter from a caustic perspective. And as I mentioned, we've had some turnaround activity with the VCM tie-ins that we had planned in the first quarter in Geismar. And so our operating rates in the first quarter were unusually low because of that turnaround -- that planned turnaround activity. But as we expect that the construction season will begin to pick up, the pull-on chlorine will go into water treatment and into the construction materials. So we had I do expect some further pull-on PVC. So I do expect operating rates for ourselves and for the industry to lift from where they were in the first quarter.
Arun Viswanathan: Okay. Thanks, Steve. And just curious on the impact of China and Chinese production on PVC. I mean, historically, we had their acetylene-based production, but you could still ship North American PVC over there. Understanding you guys didn't necessarily participate in a lot of that, Do you see any changes in, say, the midterm PVC outlook that it get more positive because of tariffs and maybe less imports -- or less Chinese exports entering different markets and maybe that would open up some extra export opportunities for you guys? Thanks.
Steve Bender: Yes. I think it's a really good question and it's hard to know exactly where all this may get sorted given the conversations on tariffs. But I would say that when we look at the opportunities being on the lower end of the cost curve positions us very well, the integrated chain we have gives us an ability to run our plants at average higher operating rates. And so, the VCM that we added gives us what I would call more elbow operating room and more reliability over the cycle. And so, we'll look for opportunities given how some of these trade negotiations may play through. Clearly, some of the trade patterns have changed as a result of not only those discussions with Asia players, but also some of the European players have imposed higher tariffs as well. So we've seen change in trade patterns and we'll certainly take every opportunity we can to leverage that. But as you know, most of our manufacturing capacity is here. Most of our demand is here. We see a large amount of demand for resin domestically. And of course, about a 1/3rd of our PVC resin goes into building products. So our export exposure is much more limited than some of our other vinyl peers.
Arun Viswanathan: Thanks.
Operator: Thank you. One moment for our next question. Our next question is going to be from the line of Frank Mitsch with Fermium Research LLC. Your line is open. Please go ahead.
Frank Mitsch: Thank you. Good morning and long-time no speak. Hey, Steve, I want to come back to the hit margin question. I'm not sure if I'm understanding this correctly, so would appreciate elucidation here. So, I thought I heard you say that, some of the higher margin pipes and fittings was sold in the was pulled forward into the fourth quarter. So that would lead to a negative mix effect in the first quarter. And so, yes, you posted 20.4% EBITDA margins. And so with that negative mix effect in 1Q, one would suspect that we'd probably get a lift in 2Q in terms of margins. So it will be some number above the 20.4%. And so as part and parcel of that, the full year guide in terms of margins was guided towards the low end of 20% to 22%. So is there some sense of conservatism here? Am I misunderstanding? Should we not expect margins in hip to be better in 2Q versus 1Q? Any help will be appreciated.
Steve Bender: Yes. So Frank, as we think about the -- and you outlined the dynamics that I described in the first quarter quite well. And I would say as we think forward about the guidance we providing in margin, there is, of course, some degree of conservatism built into that forecast because I think the outlook that we see in interest rates and some of the dynamics really are unclear at this stage. So as you could see, we are seeing growth in share. You see that through the growth in revenue. And it's really unclear in terms of really how that will progress through the course of the year in terms of margin. We certainly will be looking to gain the share back in our higher value-added products and pipe and fittings are one of those. But I would say that as we look forward, there is some conservative view built into that margin guidance.
Frank Mitsch: Excellent. Thank you. And then lastly, last quarter as we've seen some buybacks, unfortunately, Mr. Market seems to be giving you another opportunity here. How should we think about Westlake and buybacks in 2Q and beyond?
Steve Bender: Well, Frank, certainly, as you know, we have authority from the Board to act as we see opportunities to do so and we have liquidity to be able to act. We'll be looking at where we think the best deployment of that capital is. And as you could see, we took those actions recently and we'll assess those opportunities prospectively. We obviously don't guide quarter-by-quarter our activity in the market. But certainly, we'll look at those opportunities and assess is that the best place to deploy our capital. And if it is, we'll certainly act, but there's some other good growth opportunities in our business. I mentioned some of the opportunities through acquisitions. We're also expanding our footprint in PVCO pipe as well in Wichita Falls, Texas. So there are some good opportunities that we see, but we'll also assess are there opportunities in our own stock.
Frank Mitsch: Terrific. Thanks so much.
Steve Bender: You're welcome.
Operator: Thank you. And our next question is going to come from the line of Vincent Andrews with Morgan Stanley. Your line is open. Please go ahead.
Turner Hinrichs: Hi. This is Turner on for Vincent. It would be great to make sure that we're level setting for the $100 million of energy and feedstock headwinds correctly. Was all of this just related to energy markets tightening? Or were there some onetime headwinds related to the winter storms you mentioned that we should back out ahead of accounting for energy costs quarter-over-quarter in the second quarter?
Steve Bender: No, Turner. It was all related to just really the dynamics that you mentioned in the energy markets, both ethane, ethylene and nat gas.
Turner Hinrichs: Okay, great, great. It'd be great to get some color on CapEx as well in light of the $100 million reduction of your full year guide. Can you quantify your maintenance CapEx and what was taken out with this reduction?
Steve Bender: Yes. So part of that, of course, that was removed is really, as I mentioned earlier, we're looking at our operations in the epoxy arena that we took a charge for in the third quarter of 2024. As I mentioned, we're looking at actions related to our ECH and AC facilities there. So as we think about the charge that we've took in the third quarter of last year. We do expect there'll be diminished capital spending in those operations in the Netherlands, but we'll also look across the entire organization and see are there opportunities to really tighten the belt on some of our operations. So ordinary maintenance in the business runs in the neighborhood of $700 million to $800 million. And so therefore, as I mentioned, safety and reliability would not be those areas where we would be pulling back on capital.
Turner Hinrichs: Okay. Thank you.
Steve Bender: You're welcome.
Operator: Thank you. And our next question is going to come from the line of Hassan Ahmed with Alembic Global Advisors. Your line is open. Please go ahead.
Hassan Ahmed: Good morning, Steve and Jean-Marc. We've obviously over the last several quarters been hearing about a fair degree of sort of capacity rationalization happening on the ethylene polyethylene side of things. Could you comment a bit on what you guys are hearing globally on the PVC side? And part and parcel with that, what the global cost curves are looking like within PVC?
Jean-Marc Gilson: Yes. I mean, if you look at the PVC market, it's been a oversupplied market globally. I mean, there is overcapacity certainly in Asia. It's been a market that has tended to rationalize in Europe now. As you remember, Europe used to be an exporter of PVC across the world and because of raw material cost and certainly energy cost that has stopped. So the situation is not yet completely sorted out. There is still some rationalization that needs to take place in Europe. But you also see upstream and on the ethylene side that some of the crackers that are operating in Europe are also not really profitable and you have started seeing some major producer to rationalize some of their production there. So I think there is still some way to go. We are not really exposed in terms of ethylene in Europe. We are buyer of ethylene. So but we are actually have seen a reduction in price in ethylene and I think it's putting pressure certainly on ethylene producer in Europe. So I think there is still some ways to go in terms of restructuring around the world in some of these commodities.
Hassan Ahmed: Very helpful, very helpful. And as a follow-up, continuing with sort of the overcapacity theme, obviously we're sort of swimming in oversupply on the epoxy side of things as well. But then there are some glimmers of hope around the whole sort of anti-dumping sort of duties potentially being imposed. So where do we stand on that? And are you guys in the camp that as and when those anti-dumping duties do get imposed, you could see at the very least a return to positive EBITDA there?
Jean-Marc Gilson: So, yes, these anti-dumping have been somehow been put in place in the U. S. and in Europe. I think there was an expectation in Europe that prices would start going up. We've seen a little bit of that. We've seen certainly a pickup, small pickup in terms of demand. But the expectation that it's going to dramatically improve profitability, I think it's going to be a little bit difficult to achieve. As a reminder, some of the major producer certainly out of Korea have not been impacted by some of these anti-dumping tariffs. And so that has put a little bit of a damp on our expectations of a quick return to high profitability. I would say that the situation in the U.S. is pretty similar and we've seen certainly better performance in the U.S., but not to the extent where the market has changed dramatically.
Hassan Ahmed: Very helpful. Thank you so much.
Operator: Thank you. At this time, the Q&A session has now ended. Are there any closing remarks?
John Zoeller: Thank you again for participating in today's call. We hope you will join us again for our next conference call to discuss our second quarter results.
Operator: [Operator Closing Remarks].